Operator: Welcome to the Opera Limited Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Matt Wolfson, Head of Investor Relations. Please begin.
Matt Wolfson: Thank you for joining us. This morning, I am joined by our Co-CEO, Song Lin; and our CFO, Frode Jacobsen. Before I hand over the call to Song Lin, I would like to remind you that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking. Such statements are based on current expectations and assumptions that are subject to a number of risks and uncertainties. Actual results could differ materially. Please refer to the safe-harbor statement in our earnings press release as well as our Annual Report including the risk factors. We undertake no obligation to update any forward-looking statement. During this call, we will present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in today's press release, which is distributed and available to the public through our Investor Relations website located at investor.opera.com. Our comments will be on the year-over-year comparisons unless we state otherwise. With that, let me turn the call over to our Co-CEO, Song Lin, who will cover our fourth quarter operational highlights and strategy; and then Frode Jacobsen, who will discuss our financials and expectations going forward. Song?
Song Lin: Sure. Thank you, Matt, and thanks to everyone joining us today. We have certainly been looking forward to giving you a business update and sharing our fourth quarter results. In terms of business and revenue momentum, it's fair to say that the e-commerce opportunities we have been focusing on have driven an acceleration well beyond our expectations and guidance, combined with a great product lineup, user growth in high-ARPU regions and our ability to operate as a fast independent player in an ecosystem with accelerating innovation. This totality makes us even more excited about the opportunities ahead for Opera. Our year-over-year revenue growth went from 17% in the first half of 2024 to 20% in the third quarter. We had guided to 21% growth in the fourth quarter and ended up beating our own guidance by 800 basis points, coming in at 29% year-over-year. [technical difficulty] give us comfort to guide for a continuation of this elevated growth trajectory into the start of 2025. Adjusted EBITDA also came in above the high end of our guidance range, at $33million or a 23% margin. Advertising revenue was $93 million in the quarter, growing 38% year-over-year and accelerating further from the 26% growth rate, we saw in the third quarter. Ad revenue performance was led in particular by e-commerce opportunities within Opera Ads. Search revenue was $52 million in the quarter, up 17% year-over-year and also accelerating more than expected versus the third quarter's 13% growth rate. As you know, our strategy is to focus on growth efforts around the highest ARPU potential users, which continues to drive healthy revenue from both such and advertising partners. In fact, during the fourth quarter, we were able to grow users in Western markets, a proxy for high value users by 3.5 million. North America and Europe now represents almost 19% of our user base, up from 16% a year ago. Our annualized ARPU grew [33%] year-over-year to [$1.98], another record and the highest ARPU growth in two years. Our mobile browsers for Android and iOS had a tremendous 2024, with the most pronounced growth in the EU, with the introduction of the DMA and the choice screen for iOS users. Total iOS user growth was over 30% in 2024 and we more than doubled our number of users in the EU. We are coming from a small iOS base, but as discussed in recent quarters, the EU is driving an agenda of more open competition within both iOS and Windows, and we are certainly working hard to give those incumbents a fair challenge. During the fourth quarter, we released the latest versions of both Opera GX and Opera One. New product releases serve multiple purpose. The most obvious is to offer our users latest features and design elements investing in our position as their preferred browser among fierce competitions. New releases also generate exciting media and influencer coverage, which benefits the inflow of new users and partnerships. And finally, and each iteration will get one notch better and new user stickiness and new releases include our latest lessons around user journeys and optimize the onboarding experience to make it as easy as possible for new users to make the Opera browser a part of their life. The Opera R2 launch brought a revamped look, dynamic themes, townscapes as well as split screen and enhanced tab management features, making it the best and most beautiful Opera browser to date. Opera One also received many of the AI features tested within the Feature Drops program throughout 2024. The AI Feature Drops program continued evolving in our developer browser motion with the introduction of a unique Opera feature, AI tab comments. On the mobile browser side, both Opera for iOS and Android gained AI image understanding capabilities. We continue to pioneer new innovative AI features. We are very excited about Agentic browsing and believe there is a smart way how this may be best implemented, allowing AI to perform tasks for the users on web based efficiency. As one of the most tech rooted browser companies, we are positioned to differentiate in this space, so stay tuned for exciting announcements to come. Opera GX, our popular gaming browser also received its first major facelift since its launch in 2019 with new design language and an expanded loading universe. The Q4 user base grew to 33.9 million MAUs, up 2 million versus Q3 and up 22% versus Q4 last year. Annualized ARPU came in at $3.58, quite stable on a total user basis as we continue to expand our user base into new regions. The GX community continues to grow as well. In 2024, we saw a 36% increase in the number of games available on our GX.games site with time spent up 50% and the number of GX.me accounts up 80% to over 10 million. Earlier this month, we introduced our latest PC browser, Opera Air, which is the first browser built around the concept of mindfulness. While it shares its tech platform with Opera One, this beautiful browser is designed to make its users feel better, be more focused and even more productive. The browser integrates mindfulness tools such as breathing exercises, meditation, and stretches as well as soundscapes with binaural beats. We have already seen this browser receive great acclaim by the tech press. Opera Ads had an incredibly strong fourth quarter, driven by our intent-based audience monetization offering where we leverage our vast amount of interest and intent signals to connect business ways and users. Browser usage is a lean forward experience while high intent activities can be monetized not only via search and our start page inventory, but also across partner inventories that is provisioned in our audience extension platform. The combination of first party signals and expanded inventory creates a very scalable channel for performance advertisers, especially within the e-commerce and the travel verticals where we experienced great success in the quarter. Thanks to our investments in priority AI algorithms, trending our own data center, we have developed purpose built AI models that help Opera Ads identify interest and user intent. For performance advertisers, it is important to reach the user at the right time in the right context. This is exactly what our algorithm has been trained to do coupled with our advanced dimension building technology and high performance global infrastructure, we are able to deliver superior rollouts, meaning return on ad spend for advertising partners across both owned and operated as well as partner inventories. With our data center investments earlier this year, we captured the benefit of the extended shopping season in Q4 that spanned well beyond the Black Friday peak with many local and regional sales events throughout the whole season. Our rapid growth in Western markets is also creating a flywheel effect to the audience platform offering, helping us to further elevate our efforts in acquiring higher users in an ROI positive manner. To summarize, we are very pleased about the high activity level across our company and how we also draw strengths and seize new opportunities by being leaner and fasters. As we enter 2025, our baseline is very healthy and our ambition level is high. We have shown what we can do and it's still early-on so many fronts. With that, I will turn it over to Frode.
Frode Jacobsen: Thank you, Song. The fourth quarter really crowned the year as a whole, with a substantial payoff to our strategy, both in terms of our focus for product development and user growth as well as on the monetization and partnership side. Our 29% year-over-year growth was 12 points higher than the growth rate at the start of 2024 and well ahead of what we had guided for the fourth quarter as well. As we scale, we unlock new opportunities and partnerships that can create these outsized trajectory moves for an agile company like Opera. And as you started to see in the third quarter also, when that happens, we double down to seize it. The strong overperformance versus guidance was predominantly fueled by the 38% annual growth of advertising revenue, though it's worth highlighting search as well that ended the year at an also impressive 17% annual growth rate. In isolation, our rapid quarterly scaling of advertising revenue, including on third-party inventory, comes with a margin percentage headwind though of course a dollar-wise profit tailwind. Still, we achieved a quarterly adjusted EBITDA margin percentage in line with our guidance. And with that, the dollar amount of EBITDA exceeded the high end of our guidance range as well. In terms of cost, we raised our marketing spend to $41 million, on the back of our new Opera One, GX and iOS releases, in line with expectations. After working to ramp our marketing activities throughout the year, we were pleased to find sufficient opportunities to scale at attractive ROI in the seasonally important fourth quarter. Cost of revenue items came in at $48 million or 33% of revenue, scaling with the revenue over performance. Compensation costs reduced a bit more than expected versus the prior quarter to $17 million and all other OpEx items before adjusted EBITDA also reduced slightly to $7 million. With these results, Q4 marks our 15th consecutive quarter as a Rule of 40 company and yet another quarter of meeting or exceeding our guidance. Taken together with our material step up in scale over the past years, with a revenue run rate now exceeding the $0.5 billion mark as well as healthy profitability and cash flow generation, we believe that Opera benefits from increasing interest and awareness also within the investor community. Taking a step back, we can compare actuals for the year to our initial guidance. At the start of 2024, we guided for 15% annual revenue growth with a stable EBITDA margin. After a year of successful execution, we saw revenue growth accelerate to 21% for the year and our EBITDA margin expand from 23.6% in 2023 to 24% in 2024. That overperformance versus initial guidance resulted in $23 million of incremental revenue for the year of which we converted $7 million or 32% to incremental adjusted EBITDA. Our operating cash flow was $21.7 million in the quarter, representing 66% of adjusted EBITDA, which was ahead of what we had expected following the unusually strong cash flow in the third quarter. On a full year basis, we converted 91% of adjusted EBITDA to operating cash flow compared to our most recent expectation that would come in at about the level from 2023, which was 88%. Free cash flow from operations came in at 61% of adjusted EBITDA on a full year basis or 77% if excluding the $19.1 million Q1 investment in our AI cluster in Iceland. And finally, more of a housekeeping note, as of early December, the ratio between Opera's shares and our publicly traded ADS' has become one-to-one, which we achieved by merging two and two underlying shares. While it had no economic impact to any shareholder, it simplifies the structure and aligns amounts on a per share per ADS basis in this report and going forward. With that, I'll turn to guidance, most specifically for the first quarter, but will also provide an initial perspective on 2025 as a whole. On the revenue side, we are excited to see the major step-up we drove in Q4 continue into the first quarter. That is advertising at a new scale for Opera fueled by Opera ads on both our own and third party inventories. Within this, e-commerce continues to be the vertical that explains the bulk of the realized revenue growth acceleration and near term potential. All-in-all, we are guiding to a continued 29% year-over-year revenue growth in Q1 at the midpoint, with a range of $130 million to $133 million. As you see from the guidance range, the growth rate might even tick-up a bit from Q4. With the confidence of nearly two-thirds of the quarter already behind us, that certainly represents a great start to the new year. We guide Q1 adjusted EBITDA to be in the range of $28 million to $30 million or a 22% margin at the midpoint. In line with the elevated growth rate, Q1 is expected to over-index on ad tech growth and consequently, we allow for cost of revenue items as a percentage of revenue to come in around the Q4 level. We expect marketing cost in the mid to low $30 million range and we expect cash compensation costs to increase about $1 million versus the Q4 level to be more similar to the recent average quarterly cost level. Other OpEx items combined are also expected to tick-up slightly versus Q4. Beyond Q1, moves like this would really compound if directly translated to guidance for the full year. Our initial 2025 guidance certainly reflects a higher than anticipated growth rate multiplied by a higher than anticipated 2024 revenue base. At the same time, and as from prior years, we prefer to leave room in our guidance so that we could revise upwards as trends mature over time. As a result, we indicate $555 million to $570 million revenue for the year, a 17% year-over-year growth rate and adjusted EBITDA of $132 million to $138 million or a 24% adjusted EBITDA margin at the midpoint. I'll underline the initial nature of the full-year guidance as we are in the midst of a period with rapid scaling and with limited historical reference points. To set a reasonable opening expectation for the year, we have modeled a more normalized sequential growth from Q1 to the later quarters of 2025. That results in a relatively stable trend of quarterly revenue growth measured by a two year CAGR, which captures the scale we have built-in recent quarters, while also evening out our forward-looking growth profile. In terms of cost and margin assumptions for the year, I'll share some directional perspectives. Our baseline expectation for 2025 is that the margin headwind from growth in cost of revenue items will be offset by a margin tailwind from economies of scale in the remainder of our cost base. We expect that cost of revenue items combined will reach about 30% of revenue in 2025, up from 27.6% in 2024. We expect that marketing costs will grow at a year-over-year percentage in the low teens, with dollar amounts increasing quarter-to-quarter from the Q1 starting points, in a step-wise fashion and in a way that supports continued healthy ROI on this spend. We expect both cash compensation and all other OpEx items pre-adjusted EBITDA combined to grow at year-over-year percentage rates in the mid to-high single-digits. In other words, marketing, compensation and the sum of the other smaller OpEx items are all expected to continue declining as a percentage of revenue in 2025. In conclusion, that's a wrap on yet another year that came in well ahead of expectations across financial KPIs such as revenue, profitability and cash generation. We are excited about the speed with which we enter 2025 and look forward to giving you more color on how the year and outlook evolves with our Q1 release, which is just two months out. With that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions] We will take our first question from Eric Sheridan with Goldman Sachs. Your line is open.
Eric Sheridan: Thank you so much for taking the question. Building on the remarks, and thank you again for all the detail you guys always give, you talked a little bit about the rise of Agentic AI and obviously, we've seen a lot of beginnings of innovation around deep research. Can you talk a little bit based on the investments you've already made in AI about what you're learning about how the product and the platform might evolve and develop in the years ahead? I'll leave it at that. Thank you.
Song Lin: Yes, so it's Song Lin. I guess I will try to take this. I understand it's a very big question. So there are many things which we can elaborate, but I will try to also be slightly brief here. So I think there are several trends. So first of all, of course, there are two level things. So from entry level, way as the browser think is of course super interesting and like there are so many things can be done. I guess our position would be that as a browser, we are perhaps less concerned about which particular end big language models we are using, but more how browser can design the best way to allow user to interact and also perhaps allow the - let's say, the potential agent to fully using the browser architecture to do things much more efficiently, maybe 10 times more efficient than some of the other players in the field, right? So for instance, we saw some of the demos out there for potentially using the browser agent to help user buy stuff. But the problem of course is that the current implementation, which has been demo are all based on picture based frame by frame, you send out the picture to the cloud to analyze and then to return some move of cursors or whatever. So the benefit of those of course, it's more like - it's really not browser, but more like a system and solution which you can use in any interface. But the problem, of course is that it's not really usable at this point because it's too heavy, way too heavy and not really efficient and not really accurate. While of course as a browser you have access to all the web elements, right, like for instance, you can really access all the web elements in a DOM tree that you don't really have to go to enter some graphical models. So that's why we believe that as a browser vendor, there is a chance for us to make this maybe 10 times more efficient and make it actually relevant for the end user to allow the agents to make many real tasks in a browser for real ways. So I - as also mentioned a bit on the script, we have some upcoming PI release that - and demos and could be of interest. So I think stay tuned for that. And then maybe I'll just also super quickly click on, from other aspect, right? So I think AI is really - all AI agent are really have deeply penetrated into every aspect of the life, right? So on top of what end-users see and interact, of course, it's also equally important how company can incorporate that into all the aspects of workflows from of course, we are developing company. So from how they actually coding, how we can make our developers maybe even more efficient to the fact that how we can use them to create apps creatives for instance. So our app platform can be so much more efficient, how to do proper categorization of user intent for instance to make sure that we are more accurate ads has been sent to users in a more relevant way. So I would almost say that that is what we also see make a big difference on the background and probably helpful to our growth even beyond our guidance as was indicated in our Q4, even though maybe not directly visible from end-user point of view. So I think all those aspects are becoming relevant and it's very interesting to see how this develops.
Operator: Thank you. Our next question will come from Naved Khan with B. Riley Securities. Your line is open.
Naved Khan: Great. Thank you very much and congrats on the good execution here. I have a couple of questions. One, I'm surprised by you know the strengthened search because this is a relatively older business, but surprised with the pickup and wondering if - what kind of drove this trend and the growth that we can maybe assume for it into 2025? Your Q1 guidance kind of implies that there's probably not going to be a whole lot of slowdown in search. And maybe on a relative topic, just talk about the Google renewal. The second question I had is around the ad tech business. It is growing really strongly. And I'm wondering if it's - what are the biggest drivers? Is it a decent of more advertisers or is it expansion of the program into more regions? Thank you.
Song Lin: Yes. So it's only - okay, sure. Frode, maybe you should begin.
Frode Jacobsen: On search, I think we commented last quarter that we expected it to come back up from the 13% year-over-year growth rate we saw and we saw the year come in at about 15% I believe, search growth rates. So I think as you say, it is more mature revenue stream and 15% growth in search, I think is a very strong result for the year. It's certainly within advertising that we have the more degrees of freedom in a sense. So as we look ahead, I would at least start with the growth for the year as a whole and then sort of project from there. In terms of the Google renewal, we are now in the year of extension that Google elected to exercise early in 2024, which I think was a positive signal that they shared with us back in April. I think we expect that during the second half of this year will extend the partnership as we typically do every three to four years. I'll hand it over to you, Song for Ad tech.
Song Lin: Yes. Quick comments for Ad tech. So I guess maybe to answer your question right. So I would almost say it's probably not as important than the origin because we have already present before the quarter. Before quarter also in those key regions, but rather, I would say, deepening relationships, especially around e-commerce as we also have commented bit in the scripts and press release but of course, Q4 are traditionally a very strong shopping season, so some of them are expected. But I guess even a bit beyond our expectation is the actual execution and how we are able to fulfill performance. So maybe I'll just comment that the - also the key aspect is that most of our advertisement are performance based. So if we want to get paid is it a good performance, but the good part of it is that, of course, if there is good performance, there's almost - then we can get a lot of budget, right. So I think what happens just that I think we have been in execution well also with the help of AI and a few others that we actually are getting more budget than we previously estimated and that's actually resulting exceeding - largely exceeding we have been anticipated even internally for Q4 and looks like we will also be able to continue that trend into Q1 as well.
Naved Khan: Great. Thank you.
Operator: Thank you. Our next question will come from Lance Vitanza with TD Cowen. Your line is open.
Lance Vitanza: Hi, thanks guys for taking the questions. I've got a couple if I could. The first on the iOS penetration in Europe. It's great that you're seeing so much progress there, but is it still sort of fair to think that your penetration, so to speak of iOS users even in the EU is still rather de-minimis and closer to zero than to 1%. Is that right? I mean, that's not a bad thing in my mind, but I'm just trying to get a sense for where you are today.
Song Lin: Okay. So it's Song again. I think it's fair to say, I don't know about like [0 to 1] whatever, but I think I guess at this point, of course, everyone, except Apple because of the policy, right, because of limitation, everyone are still in a very unfavorable status in iOS, which means everybody has also a lot of room to grow. And we also see that to be fair, we see that with every iOS update, Apple had been trying to comply some of the aspects of the requirement from EU for instance, which leads to higher held penetration of the other browsers and I guess our hope would just be that way will be going to capture most of the benefit. But you are right that it's super, super holistic. There are many, many times potential we can grow and we believe that well happening. So that's what we're working on.
Lance Vitanza: Okay, great. And then I wanted to ask you about penetration in the U.S. on the iOS side. And I might be mixing up my markets here, but I'd heard some anecdotes that the downloads of Opera browsers on the Apple App Store have spiked here in the first half of the first quarter. I'm wondering if you can comment on that or is that - or was that spike taking place in Europe?
Song Lin: Both actually because - okay, so first of all, there are good spikes in Europe for sure. But as I would say almost a silo effect, that I think the key is the user awareness that of course, when most people are aware that there are actually third-party browser options even available in iOS, right, because of, I guess, some of the things happening in Europe, we also see we definitely see a spike of downloading and iOS penetration in the U.S., which of course is very positive and also give us boost. So I think Europe for sure, U.S., yes, we also see that.
Lance Vitanza: If I could just get one last one in. Back on the sort of the search versus advertising revenue split, when I launched coverage, it was sort of like 60% search, 40% advertising. And I've just gotten used to thinking of it as having reversed to 40% 60% and now at least in the fourth quarter, it was 35% search, 65% advertising, if I'm doing the math right. So the question is, is that trend likely to continue in 2025? I mean, do you see - could we get to 30% 70% for the year or maybe as a run-rate by the end-of-the year? And really, I'm just trying to think about how we should model the two revenue line items in the context of your consolidated revenue guidance? You know, put another way, maybe I'll ask the question this way, the ad revenue grew twice as fast as search in the fourth quarter, do you think that that ratio holds throughout 2025 or should we expect a more of a mean reversion for both of those two growth rates?
Frode Jacobsen: I would - hi Lance, it's Frode here.
Lance Vitanza: Hi, Frode.
Frode Jacobsen: I would forecast search as a revenue stream of somewhat less volatility and look at how we grew for 2024 as a whole and then do classic forward-looking projections. And then I would say that the variance in the forecast is more likely coming - going to be due to advertising revenue growth and we certainly expect that the growth rate of advertising will stay higher than the growth rate of search also next year. And you're right search used to be the bigger revenue component and now we're down to 36% in the fourth quarter, it's still 39% for 2024 as a whole. Just keeping that in mind, down a couple of percentage points from the prior year and sort of by the diverging growth rates, we expect that trend to continue.
Lance Vitanza: Thanks, guys.
Operator: Thank you. Our next question will come from Mark Argento with Lake Street. Your line is open.
Mark Argento: Hi, guys. Good morning. Congrats on some strong results. I just wanted to drill down a little bit more on advertising just given the significant outperformance. But could you - obviously, you said you should - we're going to see continued growth at elevated levels in the Q1, maybe taper down through the year just given a lot of larger numbers. But could you maybe help us think about the seasonality of that business? I know obviously, the e-commerce piece of that, which is obviously has plenty of seasonality is a bigger piece, but just help us maybe understand that incremental revenue a little bit, the contribution and maybe concentration levels, anything you can kind of help us better understand how that might look as it rolls into the model through the year?
Frode Jacobsen: Yes, Mark, thanks. I'll comment on that. Of course, we put behind us a year of tremendous growth and very positive incremental growth versus expectation from one quarter to the next as the year has progressed. As I mentioned in my prepared remarks, as we defined the initial guidance level for 2025, we tried to take a more normalized sequential move from where we see Q1, where we expect Q1 to come in and throughout the remaining quarters. So then it's sort of a nicer step ups from Q1 to Q2 and then onwards to - and then bigger increases from Q2 to Q3 and Q3 to Q4. So I'd say the bigger sequential moves will take place in the second-half of the year, most likely.
Mark Argento: In terms of the customer concentration or relationship concentration, are you guys selling, you know the e-commerce relationships? Are you selling those direct or how concentrated are those revenue streams?
Frode Jacobsen: I'll let Song comment on the details of the business. At a broad level, of course, the broad topic is with the growth of advertising, which has many, many more players in the ecosystem. Our customer concentration is also declining or being more diversified.
Song Lin: Yes. So yes, I can add a bit there, right? So I guess - so first, probably saying, of course, the concentration are definitely more diverse than, say, such for sure. On the other end, though, just to comment that we typically directly work with each e-commerce partners, not really with so many agencies, or even if it’s agency that's on top - on behalf of us really. So I would say that is fine, we're not really dependent on one or two agencies. I guess it's not issue, but more like - of course, net of that is that we typically only want to work with the biggest e-commerce players because that's where you have the mass effect of scale that could be relevant to us, which also indicating that for particular regions or countries, of course, there are limited number of top e-commerce players. So we have some limitation there, like our solution for now definitely focused on the big ones, which can give us the benefit of scale. So just to take that into mind, but overall, of course, it's still a lot more diversified than such or in house we used to have.
Mark Argento: And then one - just last quick follow-up is from a geographic perspective, is it mostly Western, U.S., Europe, what's the key demos that you guys are focused on?
Song Lin: I can follow that question. So, yes, go ahead Frode.
Frode Jacobsen: Okay. We see revenues in Western markets grow faster than our revenue growth overall. So that is North America and Western Europe as the faster growing regions, representing well over half of our revenue, even though as we point out in our investor presentation, they represent 19% of the user base, which is up substantially, but still today a smaller footprint than our emerging market user base. So of course, with that also lies a lot of our potential as we continue to invest in growing those regions as the by far highest ARPU regions.
Mark Argento: Great. Appreciate it, guys. Thank you.
Operator: [Operator Instructions] And our next question will come from Alicia Yap with Citi. Your line is open.
Alicia Yap: Thank you. Good evening, management. Congratulations on the strong set of results and also the guidance. Thanks for taking my questions. I have couple of follow-up on the guidance and then I have a question for Song. So first of all, I think management, you just mentioned on the sequential basis, the second half, the sequential growth is stronger, but then if we look at your - on the year-over-year basis, your first quarter versus your full-year, if we take the midpoint, is that suggesting the second half the year-over-year will be slower than the first half. Part of it obviously is the base effect, right? And then just kind of curious, why wouldn't the reacceleration's of the growth that we saw in 4Q, imply in your 1Q to sustain into the second half as well?
Frode Jacobsen: Hi, Alicia, I'll begin there. So you're right, of course, in your observation, I just want to point out that the fourth quarter in isolation lifted our full-year revenue growth from 19% to 21%. So that added $10 million to our base - 2024 base looking ahead into next year. So as we guide, we don't want to bet that we're going to have a similar outsized move from Q3 to Q4 in 2025. We'd rather base our initial full-year guidance on a more normalized move from one quarter to the next and then of course, work very hard to bring more good news as the year progresses.
Alicia Yap: I see, I see. Got you. And then on the EBITDA trend is actually a little bit reversed, right, because you guided first Q is 22% and then the full-year is 24%. So is that assuming we actually will be spending maybe quite a bit of, let's say, the marketing and now that, but then second-half, we're going to enjoy quite a bit of leverage?
Frode Jacobsen: I would say it's almost keeping with our tradition because last year, when we started out '24, we guided our EBITDA margin to stay stable with sort of these offsetting moves. And when we guide now for 2025, we do the same thing again. Of course, it's at a slightly higher level now than before. So I think we are seeing economies of scale as I walked through a bit on the call in our cost base, but as we are generating this tremendous growth within Opera Ads that does come with cost of revenue, that in terms of like percentage margin is an offsetting factor to the economies of scale. So as we start the year, we say, let's expect that the two effects will be of about equal magnitude in terms of percent, but then, of course, driving more dollar EBITDA than otherwise. And then we'll see - we'll learn more as the year progresses.
Alicia Yap: I see. I see. Got you. Thank you. And then so a question for Song. Just wondering if you can share what's your view on of DeepSeek? And will Opera also consider incorporate the R1 into your browser. And follow-up on that is that how are we or how should we be thinking about the longer-term position of the search function within the browser? Do you think over time as users are switching to AI chatbot to get their queries and all that, it will be a dilutive impact to the search function of the browser positioning? Thank you.
Song Lin: Yes. So I guess one, we have already incorporated DeepSeek into our models. So I think we made an announcement earlier last week, I believe that we actually not only have DeepSeek incorporated, but we actually has placed it in our local model support, which means in our developer versions, user can actually download the Deep model themselves and run locally on their machines. And the best obviously that of course, it has full protect of users privacy because no data will ever leave user's computer. And this app also was quite efficiently because DeepSeek are actually very built at - have a very small consumption of computer powers. This is how strong it was to be able to perform the tasks. So you can try that, quite exciting. And then I guess for your question of what's view on search via chatbot. I guess to us we believe that - I think it's maybe less about chatbot, right. So I think in the end, search will becoming smarter, right, raising enhanced AI and how you interact with webpage and with information will also becoming smarter. So I think this will evolve. Search will becoming more smarter and then there will also be new ways of interaction. But for us, the most relevant is how to make sure all those happen in a browser context, right, because it doesn't matter which way. As we also demonstrated, the key is that we want to make sure that whole user intent and whole user engagement are actually happening inside the browser because as far as this is happening, then we are confident that we would be able to find a way to monetize and we also see the similar trend that the advertiser, they are also focusing on where comes the highest user intent and who can capture it. And as far as this is happening in our browser environment, we are very positive. So we're almost a bit neutral about whether that happens purely on the search context or smarter search context or in some other forms, which are to be evolved.
Alicia Yap: Okay. All right. Thank you, Song. Thank you Frode.
Operator: Thank you. Our next question will come from Jim Callahan with Piper Sandler. Your line is open.
Jim Callahan: Hi, thanks for taking my question. First is just a question on sort of the audience extension piece. So you're seeing really strong advertising growth in 4Q and we're also seeing sort of the big uptick in Western market users. I guess, is the audience extension revenue piece we're seeing today, is that a function of the users you acquired last quarter, two quarters ago? Or are you - like is there a lag effect we should consider here or are you able to monetize those users on the audience extension piece right away?
Song Lin: Yes, so I guess I'll give it a try. Yes, so I guess high level, not necessarily. So I think, yes, there is a flywheel effect that the more you know, we of course require, and you read in the markets is to allow us either to actually build-up the models which would work also in the inventory, right? So it always helpful. But I don't think it's necessarily, I would say a lag effect per se and more like, let's say, a cumulative effect is probably a better way to say it. That of course, more we're down and then the better we can do and the better we can do, the more and then we can get better asset deals, which allow us to also perform even better. So it's more like a flywheel, but slightly less about lagging, but more likely accumulative. I don't know if that answers your question.
Jim Callahan: No, that does. That's very helpful. Thank you. And then kind of just curious on - obviously, you're seeing success with the marketing spend. Can you just kind of talk about what was most successful in sort of driving some of the strong user growth? Thank you.
Frode Jacobsen: So I think throughout the year, we kept guiding for greater marketing spend in the following quarter than what we ended-up doing because we always - we want to allow to spend marketing dollars, but we are quite restrictive until we see that the ROI is satisfactory and then we dial-up. So very pleasing to see that in the fourth quarter, we had good ROI. We scaled our marketing. It was on the back of very key product releases. Of course, that revenue impact is less pronounced in the fourth quarter itself, but it's - it was and is a good investment in where we are today and sort of trajectory leading into 2025. So - but Song, I can hand over to you more from an operational view as well, if you want to add something.
Song Lin: Yes. So yes, but I think you've done well, right. So I guess maybe I'll just add to that, of course, in the end of the day, it's still the product itself, right? So that's partially why that you see, we have an uptake of marketing spend in Q4, it is just because we have launched the Opera One, R2 and also we also have launched the GX. And that's also partly why we probably also guided a bit higher marketing spend in Q1 versus the previous trend is because we launched Opera AI. So just want to double down that. Of course, it's not only a non-game, but also a matter of having the right product, which we are rather confident about.
Jim Callahan: Great. Very helpful. Thank you.
Operator: Thank you. And at this time, there are no further questions in the queue. So I would like to turn the call back over to Song Lin for any additional or closing remarks.
Song Lin: Sure. So like again, thank you all for joining us today and following us in this exciting perhaps the pivotal times for how the broader Internet economy will evolve. We are very excited to be exactly where we are and we feel confident that our product portfolios and the launches we are working on will set us up for a healthy 2025 at the baseline and hopefully something even bigger as potential. So wish you a good rest of the day, and look-forward to reconnecting our Q1 results at the end of April.
Operator: Thank you, ladies and gentlemen. This concludes today's presentation, and we appreciate your participation. You may disconnect at any time.